David Strow: Good afternoon, and welcome to the Boyd Gaming Fourth Quarter and Full Year 2024 Earnings Conference Call. My name is David Strow, Vice President of Corporate Communications for Boyd Gaming. I will be the moderator for today's call, which we are hosting on Thursday, February 6, 2025. At this time, all lines are in listen-only mode. Following our remarks, we will conduct a question-and-answer session. [Operator Instructions] Speakers for today's call are Keith Smith, President and Chief Executive Officer; and Josh Hirsberg, Executive Vice President and Chief Financial Officer. Our comments today will include statements that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today's date, and we undertake no obligation to update or revise the forward-looking statements. Actual results may differ materially from those projected in any forward-looking statement. There are certain risks and uncertainties, including those disclosed in our filings with the SEC that may impact our results. During our call today, we will make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today and both of which are available at investors.boydgaming.com. We did not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses. Today's call is being webcast live at boydgaming.com and will be available for replay on our Investor Relations website shortly after the completion of this call. So with that, I would now like to turn the call over to Keith Smith. Keith?
Keith Smith: Thanks, David. Good afternoon, everyone. 2024 marked another successful year for our company as our diversified business model, continued operating efficiencies and recent property investments all contributed to a strong full year performance. We generated over $3.9 billion in revenues in 2024, setting a full year record, and we achieved company-wide EBITDA of nearly $1.4 billion while maintaining property-level operating margins of over 40%. These results demonstrate our company's continued ability to deliver a high level of performance. Looking at the fourth quarter specifically, our performance was consistent with the solid results, we have achieved over the last several quarters. Quarterly revenues surpassed the $1 billion mark for the first time, while EBITDAR increased to nearly $380 million. Fourth quarter performance, much like our full year results that was driven by our diversified portfolio, efficient operations and contributions from our recent property investments, most notably a treasure chest. Importantly, throughout our property operating segments, we continue to see strength in play from our core customers and stable trends in play from our retail customers. Now let's review segment results in more detail. Starting with our Las Vegas Locals segment. During the fourth quarter, we delivered our best year-over-year performance of 2024 despite ongoing competitive pressures in the market. Excluding Orleans and Gold Coast, our Las Vegas Locals properties continue to perform better than the same-store market, and our operating margins continue to exceed 50%. Play from our core customers continue to grow across the segment during the quarter, while play from our retail customers improved. And our ongoing project to enhance the Suncoast is beginning to show its potential, as this property posted a solid performance despite the addition of a new competitor in the market in late 2023. Next, we delivered another strong performance in our Downtown Las Vegas segment during the fourth quarter. Our recent enhancements at our Downtown properties are providing us a solid foundation for long-term growth. Similar to our Las Vegas Locals segment, overall customer trends were consistent with recent quarters with growth in play from our core customers and consistency in play among our retail players. Visitation from our Hawaiian customers remains healthy, while pedestrian traffic throughout the downtown area has been steady. Looking at the Southern Nevada market more broadly, fundamentals of the local economy remains strong with recent gains in employment, personal income, population and tourism-related activity. Local employment has grown for 45 consecutive months now with increases across most major employment sectors. Average weekly wages increased nearly 6% during the fourth quarter, outpacing the national growth rate. Southern Nevada's population has surpassed 2.3 million residents and continues to show growth with homebuilding permits increasing 13% over the prior year. Total visitation to Las Vegas remains healthy growing more than 2% over the prior year to nearly 42 million visitors in 2024. And airport traffic continues to achieve record levels, exceeding 58 million passengers last year. By the end of the first quarter this year, airline capacity is expected to increase by another 3%, which includes continued growth from international markets. Finally, residential and commercial construction activity remains robust throughout Southern Nevada with more than $8.5 billion in notable projects currently under construction. In all, we remain confident in the long-term strength of the Southern Nevada economy as we enter 2025. Aside of Nevada, our Midwest and South segment achieved another quarter of growth, led by continued strong results at Treasure Chest casino. Our new facility at Treasure Chest has consistently performed ahead of expectations since opening in June and remains on track to exceed our targeted EBITDA return. While Treasure Chest was the strongest performer in this segment on a year-over-year basis, we were also pleased with the performance of our same-store operations. After adjusting for certain onetime benefits in the fourth quarter of 2023, same-store revenue and EBITDAR grew slightly while margins remained consistent at 37%. And on both a total same-store basis, play from our core customers continue to grow while retail customer play remains stable, consistent with recent quarters. Next, our online segment once again contributed to company-wide growth. With a strong fourth quarter performance, our online segment generated $76 million in EBITDAR for the full year after excluding $32 million on time fees. This performance reflects continued growth from our market access agreements, primarily with FanDuel as well as contributions from our nascent online gaming business. Beyond the financial contributions from our online segment, we also have significant value in our 5% equity interest in FanDuel. Across the country, FanDuel is strengthening its position as America's leading online gaming company, further enhancing the considerable value of our equity stake. Finally, our managed business closed out 2024 with another solid quarter of growth. For the full year, this business generated $96 million in EBITDAR, driven mainly by management fees from Sky River Casino. The Sky River continues to perform at a very high level, work has begun on a significant expansion of this property. Work is now underway on the first phase of that expansion, which will add 400 slots and a 1,600-space parking garage to the property. Upon completion of Phase 1, first quarter of 2026, construction will begin on the second phase of the expansion, which will include a 300-room hotel, two additional food and beverage outlets, a day spa and an entertainment and event center. Once fully complete in mid-2027, this expansion will position Sky River for continued long-term growth, further strengthening its reputation as one of Northern California's leading gaming entertainment destinations. So in all, both our fourth quarter and full year results demonstrated our company's continued ability to deliver a high level of performance. And we are building on our track record of success as we continue our program of investing in our nationwide portfolio. An example of these investments is the ongoing renovation of our hotel room product. We have recently begun hotel renovations at the Orleans, IP and Valley Forge, which account for nearly one-third of our hotel rooms across the country. When combined with other recently completed hotel renovations, we will have refreshed and updated nearly 60% of our hotel room inventory by next year. We are also enhancing the customer experience throughout our properties. An example of this is the Suncoast where we opened a new sports book, high-limit room and premium steakhouse in 2024. All of these new amenities have been well received by our customers, helping drive solid results at Suncoast over the last several quarters. Next to come at the Suncoast is a complete renovation of the casino floor, a new food hall and an expansion of the properties meeting space. We unveiled the first section of the Suncoast casino renovation earlier today and are on track to complete all property enhancements by early 2026. In addition to enhancing our properties, we continue to pursue strategic growth investments in our portfolio. At Ameristar St. Charles, we are making progress on the expansion of that property's meeting and convention center. Ameristar's existing meeting and convention business is a core part of its business model. With a 4-diamond rated hotel, extensive amenities and close proximity to the St. Louis Airport, Ameristar sees more demand than it can currently accommodate. With demand already exceeding our current space, the Ameristar team is having great success booking future business for its expanded convention center, positioning the property to deliver strong results once our expansion is completed this fall. Next, in Southern Nevada, we remain on schedule to open Cadence Crossing Casino in mid-2026. This development will replace our existing Joker's Wild casino with a modern casino entertainment experience. The nearby master plan community of Cadence is one of the fastest-growing neighborhoods in the Las Vegas Valley, and this development will position us to capitalize on the growth. Cadence Crossing will begin as a smaller property with 450 slots and several restaurants. But as the Cadence community continues to grow towards its full build-out of 12,000 homes, Cadence Crossing will grow with it with plans for a hotel, more casino space and additional amenities. And as work continues on these projects, we have development plans for the next investments in our property growth pipeline. One of these projects will be in Central Illinois, where we anticipate replacing our 30-year-old riverboat casino with Par-A-Dice with a compelling new entertainment destination. While it is still early in the design process, we could begin construction as early as the first half of 2026 pending regulatory approvals. We are confident that this project will deliver a solid return on our investment by driving incremental growth in visitation and business volumes at Par-A-Dice following its completion. In addition to ongoing investments in our existing properties, we're also investing to expand our portfolio with our resort development in Norfolk, Virginia, where construction is set to begin shortly. This $750 million project will further diversify our portfolio by expanding our presence in one of the largest underserved gaming markets in the Mid-Atlantic region. We are confident in our ability to create a market-leading resort experience in Norfolk that will attract customers from throughout the region, serving as a key growth driver for both the city of Norfolk and our company. The resort which is scheduled for completion in late 2027 will include a casino with 1,500 slots and 50 table games, a 200-room hotel, 8 food and beverage outlets, live entertainment and a 45,000 square foot outdoor amenity deck. Part of this project, we plan to open a modest transitional casino this November. In all, these investments form the foundation of our future growth. And while we are investing in these strategic growth opportunities, we are also continuing to return capital to our shareholders. In the fourth quarter, we repurchased $203 million in stock, bringing our total repurchase activity for 2024 to $686 million. While we have repurchased more than our targeted level of shares over the last several quarters, this has been purely opportunistic. Looking ahead to 2025, we remain committed to $100 million per quarter in repurchase activity, supplemented by our ongoing dividend program. In addition to investing in growth opportunities and returning capital to our shareholders, our balanced approach to capital allocation includes maintaining a strong balance sheet. We ended 2024 with total leverage of approximately 2.5x, giving us a strong foundation to continue our successful approach to capital allocation. So as we look back on 2024, we're pleased with the performance of our company, strong foundation we have built for the future. We continue to generate substantial free cash flow through our diversified business model and our consistent operating performance. Our ongoing property investments are delivering solid returns and positioning us for long-term growth, and we are successfully balancing these investments with our capital return program, returning nearly $750 million in capital to our shareholders in 2024 while maintaining the strongest balance sheet in our company's history. Finally, before I turn it over to Josh, I wanted to take a moment to recognize a historic milestone for our company. January 1 of this year, we celebrated Boyd Gaming's 50th year in business. We've come a long way since Sam and Bill opened the California Hotel and Casino in 1975. Since then, our company has grown from a single property in Downtown Las Vegas, and one of the largest and most respected gaming companies in the United States. And while our company is much different today than it was in 1975, the vision and integrity of Sam and Bill Boyd continue to guide us to this day. Their commitment to growth and their commitment to making a positive difference for our team members and our communities are principles that we probably carry forward as a company. Our success throughout these past five decades would not have been possible without the hard work of our team members, their dedication to delivering memorable service for our guests is what makes the Boyd experience unique. Thank you for your time today. I would now like to turn the call over to Josh.
Josh Hirsberg: Thank you, Keith. The fourth quarter represented the conclusion to a very good year for our company. We finished 2024, generating nearly $1.4 billion in EBITDAR with annual property level margins exceeding 40%. As a result of our performance, our diversified portfolio generates significant free cash flow that we are deploying to reinvest in our business and return significant capital to our shareholders. I'll now provide additional commentary on our fourth quarter and full year 2024 results and provide comments on our 2025 outlook. Beginning with our Online segment. In this segment, we generated $108 million in EBITDAR for the full year of 2024, including $32 million in nonrecurring market access fees. For 2025, we expect to generate approximately $80 million to $85 million from our Online segment, which compares to the $76 million of run rate EBITDAR in 2024. This segment includes contributions from our revenue share agreements in Boyd Interactive. For reference, the tax pass-through amounts reported as revenues and expenses in our Online segment were $128 million for the fourth quarter and $450 million for the full year of 2024. This compares to $97 million in the fourth quarter of 2023 and $328 million for the full year of 2023. In our Managed business, we generated $96 million for the full year of 2024, primarily driven by the management fees we earn from Wilton Rancheria, Sky River Casino. We expect to generate a similar amount of EBITDAR in 2025 from our managed and other businesses. In terms of capital expenditures, we invested $111 million in capital during the fourth quarter, bringing total 2024 capital spend to $400 million. For 2025, our capital investment plans include maintenance capital, incremental maintenance capital related to our hotel room refurbishment initiative, recurring property growth investments and starting our development project in Virginia. In terms of each of these capital spend categories, we estimate our recurring maintenance capital to be approximately $250 million per year. We will spend an additional amount on maintenance capital related to hotel room refurbishments this year of approximately $100 million at IP, Valley Forge and the Orleans. Our initiative to upgrade our hotel rooms is scheduled to be complete in mid-2026. In terms of our recurring property growth investments, we expect to invest approximately $100 million each year. In 2025, this amount includes investments in the convention expansion at Ameristar St. Charles, which is scheduled to open in the fall of 2025. And the Cadence Crossing development here in Las Vegas expected to be complete in mid-2026. As these projects come to conclusion, we expect to begin the next round of projects, including potentially replacing our 30-year-old river boat at Paradise. And finally, we are beginning work on our casino resort development in Virginia, with estimated capital spending of $150 million to $200 million in 2025. The total investment in this project related to the development of the temporary and permanent facilities is estimated to be $750 million. The temporary facility is on track to open in November of this year, while the permanent resort is scheduled to open in late 2027. To summarize our capital plans for 2025, we estimate maintenance related and property growth capital of $450 million and an additional $150 million to $200 million for Virginia, resulting in total CapEx for 2025 of approximately $600 million to $650 million. In addition to these investments, we remain committed to returning capital to our shareholders. We paid a quarterly dividend of $0.17 per share during the fourth quarter. Also during the quarter, we repurchased $203 million in stock at an average price of $71.79 per share, acquiring 2.8 million shares. When combined with our share repurchases with our dividend program, we returned nearly $750 million to our shareholders during 2024, or more than $8 per share. As of year-end 2024, we had $640 million remaining under our current repurchase authorization, and the actual number of shares outstanding at year-end was 86.2 million shares. Since October 2021, we have returned nearly $1.9 billion in capital to our shareholders in the form of share repurchases and dividends, reducing our share count by more than 23% over that time period. We ended the quarter with total leverage of about 2.5x and lease-adjusted leverage of about 2.9x. We have no near-term maturities, strong free cash flow supported by a diversified portfolio of assets and ample borrowing capacity under our credit agreement, continuing to place our company in the strongest financial position in our history. Transitioning to our 2025 outlook in our Las Vegas Locals segment, we expect stability will return to the Orleans and Gold Coast during the second half of the year as we fully anniversary competition. We expect other properties in our local segment to perform slightly better than the overall locals market, consistent with the 2024 performance of these properties. In Downtown Las Vegas, we expect growth during the year in line with the downtown market. In our Midwest and South segment, we expect to benefit from an incremental five months of the Treasure Chest expansion which opened in June of 2024. For the remaining properties in this segment, we expect results similar to 2024. For the first quarter, it is worth noting this segment has been impacted by poor weather conditions throughout January, similar to the first quarter of 2024. Beyond our expected performance for these three segments, with the continued success of investments like the Fremont and Treasure Chest, our pipeline of investments continues to strengthen our EBITDAR and position us for future growth. David, that concludes our remarks, we’re now ready to take any questions.
A - David Strow: Thank you, Josh. We will now begin our question-and-answer session. [Operator Instructions] The first question comes from Steve Wieczynski of Stifel. Steve, please go ahead.
Steve Wieczynski: Hey guys, good afternoon. Hey, Keith and hey, Josh. So without giving formal guidance for the full company, Josh, you have given us some high-level guidance around certain parts of your – around certain parts of your business. And just wondering if you could maybe help us, again, from a high level, help us understand how you’re thinking about maybe your core customers versus your retail customers in 2025. Just – I guess, just trying to understand how you’re thinking about both of those segments. And I would assume stability is what you’re going to say, but I wanted to ask that question anyway?
Josh Hirsberg: Yes. So thanks, Steve. I’ll take a shot at it. I think what we’ve seen really very consistently is our core customer has been really growing. And so we would expect that customer sector to continue to grow. In terms of retail, I would divide that customer into really two parts of our business: one in Las Vegas and one outside of Las Vegas. The retail customer for us in the markets outside of Las Vegas have largely been stable, meaning bouncing around flat year-over-year in terms of growth for probably the better part of a year, if not longer. So we’re really are poised for that part of the business to convert or pivot to positive at some point, although it hasn’t at this juncture. And I think that’s probably more reflective of the broader economic issues facing that customer segment. In terms of Las Vegas, throughout 2024, what we’ve seen is what I would call a stabilizing of impact or stabilizing or recovering kind of performance from the retail customer, meaning getting less bad year-over-year sequentially. So year-over-year, the declines are getting less bad sequentially as we move through 2024. And I think as we look through to 2025, we would expect us to really kind of start to reach more stability, maybe still be down a little bit in the second half of the year once we fully anniversary the competition. I don’t think we will start to see growth in that segment in 2025. Our best opportunity for that would be in the second half, but I’m not sure if we’ll get there this year or not. It will depend on things that are a little bit out of our control. Keith, I don’t know if there’s anything you want to add to that?
Keith Smith: No, I think that fairly summarizes where we’re at with core and retail.
Steve Wieczynski: Yes, that’s perfect commentary. Thanks, Josh. And then second question, again, maybe trying to dig in a little bit more towards guidance, and I apologize. But maybe help us think about flow-through in 2025 or a better understanding of how you’re thinking about maybe some of the headwinds or tailwinds that you might be starting to encounter on the margin front as well? And then Josh, real quick, a housekeeping question in terms of how you’re thinking about corporate expense for the year would be helpful as well? Thanks.
Josh Hirsberg: Yes. So I’ll take a shot at this. In terms of flow-through and margins, look, I think from an expense perspective, we continue to see expense pressures, but nothing like what we’ve seen kind of over the last several years. So I would stick with the theme of expenses moderating while still a bit challenging. I think overall, things continue to trend in a direction that’s favorable from an expense perspective. And what we really need to start seeing is kind of better revenue growth from primarily that Retail segment that we spoke about to get to kind of enhance our flow through. But I think we’re at a period of time where we can manage our margins fairly effectively in this environment, absent any significant change in our customer spend behavior. And I think that applies really across our portfolio.
Keith Smith: I think we’ve seen margins fairly consistent recently, and that’s what you should think about – if you think about 2025, again, the LVL absent Orleans and Gold Coast exceeding 50% margins in the MSR being consistent at 37%. And as Josh said, some of the – most expenses are moderating, and we’re able to manage through it. So should think about 2025, think about consistency.
Josh Hirsberg: Yes. And I think overall, if you look at our property level margins, they’ve been consistently above 40%, really since COVID. So we’ve been managing through all of the challenges while maintaining very healthy margins that I think people were skeptical that we’d be able to maintain. And I think we’ve after four years would hopefully have built some confidence that we can manage and deliver this level of performance consistently. You asked about corporate expense. And I think for 2025, I would build in about a 3% to 3.5% kind of growth in corporate expense. We do have kind of a one-time item in 2025, where we’re making some larger donations that will hit corporate expense. And so I think a good number for this year is about $95 million.
Steve Wieczynski: Okay. Great. Appreciate the color. Thanks Josh.
David Strow: Thank you. Next question comes from Barry Jonas with Truist Securities. Barry, please go ahead.
Barry Jonas: Hey, guys. Online was ahead of our expectations even when factoring the one-timers. Just curious, did the poor NFL hold in the quarter flow through to you guys at all? Or just other elements of growth enough of an offset? Thanks.
Keith Smith: I think the answer to that is yes. And yes, that we certainly were impacted in the online space by the lower hold during NFL season. At the same time, we saw good growth in the business and good growth from our market access agreements as well as some growth from our small, but growing online gaming business.
Barry Jonas: Understood. And then just as a follow-up, Keith, there’s lots of activity these days on the legislative front. As you look at states discussing gaming, curious where do you see the greatest risk and maybe opportunities from Boyd’s perspective?
Keith Smith: Yes. Look, as you look across the landscape, it’s early in the season. There’s lots of gaming bills out there. We’re monitoring all of them and paying attention. It’s really hard to judge a month into most of these sessions. Some places like Louisiana hasn’t gone into session yet. And so we’re monitoring them. It’s early. We’ve been through this for a lot of years. And so we’ll just have to see what happens. But I don’t really have any other comments beyond that.
Barry Jonas: Understood. All right. Thanks so much guys. Nice quarter.
Keith Smith: Thank you.
David Strow: Thank you. Our next question comes from Carlo Santarelli of Deutsche Bank. Carlo, please go ahead.
Carlo Santarelli: Hey, guys. Thank you for taking question. Josh, you talked a little bit about regionals kind of bouncing around a little bit for the last year on a same-store basis. And obviously, the last few months, fourth quarter specifically did look better from at least what we see from a GGR perspective, certainly kind of showed through in your net revenue and Keith’s comments about what the same-store portfolio did. But then, I guess, taking your commentary around 2025, it kind of sounded as though you were insinuating a flattish year-over-year same-store kind of EBITDA trajectory. Am I interpreting that right? And then secondly, is there anything that’s kind of hindering your willingness to maybe talk about an improving trend line in 2025?
Josh Hirsberg: Yes. So I think your interpretation is correct. I think for those of you who remember and follow along, we had – what we thought was going to be a challenging comparison to Q4 of last year with all the one-time benefits that we had then that we didn’t get the benefit of this year. And I think we had a little bit better performance out of Treasure Chest than we expected in Q4, and we also had a little bit better performance throughout the portfolio, quite honestly, than we expected. I think we remain cautious because I don’t think we’ve seen enough of strength in primarily the retail segment, given my comments earlier to say that they have pivoted to contribute to sustainable kind of a growing segment. Now maybe that will happen, but that's not what we're seeing in the customer trends at this point. We're seeing just more, I'm trying to think of how to more consistency in their play that's not pivoting to consistent growth if that makes sense. So that's the hesitation to kind of get excited about what was a little bit better quarter than maybe what we expected from the Midwest and South.
Keith Smith: Look, Carlo, I think it's just our natural hesitation to go think about the entire year go too far on a limit at this point. There's a lot of things that can go on. We think it will overall be a better year. But there's nothing that jumps out of you that says you should predict something significantly greater.
Josh Hirsberg: And I know this isn't related to your question, Carlo, but I just want to remind people January so far in the Midwest and South has been very similar to January of last year with the weather. So, not that that's an answer to your question, but I'm just saying don't forget that.
Carlo Santarelli: Understood. And if I could, just a follow-up. Obviously, you guys last three quarters have kind of stepped up the buyback to over $200 million, very steady at $100 million a quarter, and I think the refrain has always been at least $100 million a quarter, but certainly have gotten more aggressive with your buyback activity. And when you coupled that with kind of the elements of the development pipeline, the CapEx that you're spending on the room remodels, clearly, the other projects that you talked about, the Virginia Cadence and potentially Illinois getting started later. Where does – within the context of any kind of M&A or asset acquisitions, portfolios that you might be looking at, where do you guys – how do you guys kind of frame the returns on the capital that you're spending relative to something that you might do outside of the company?
Josh Hirsberg: Yes. So I think it's strictly an evaluation of the alternatives that we have in front of us based on the returns that they will generate. If we didn't have good projects like the Treasure Chest, for instance, or some of the projects that we're pursuing as part of the recurring property growth investments, we wouldn't be doing them. We'd be investing more in returning capital to shareholders. So it's really a balance of where we can get the best returns. And we've mentioned before, we have a pipeline of projects that – we have plenty of projects to choose from. We have to choose the best ones that will continue to generate superior returns. That's why we try to do it in the manner that we're doing it. Weigh that against repurchasing shares. And then if another opportunity, whether it be greenfield development or acquisition, it will just be evaluated in the same context. It will have to be a compelling opportunity relative to either investing in our portfolio or buying back shares.
Carlo Santarelli: Understood. Thank, Josh. Thanks, Keith.
David Strow: Thank you. Next question comes from Jordan Bender of Citizens JMP. Jordan, please go ahead.
Jordan Bender: Good afternoon everyone. Good to hear about the outperformance in the locals market. It's been a little bit tougher to decipher what the true growth in the local market has been with all the new competition. So without kind of getting into 1Q guidance, can you maybe help us with what that exit rate actually kind of looks like? And more specific to you guys, what would you contribute the outperformance that you're calling out versus the overall market?
Keith Smith: If you cut out for one second there, if you could reask your question, I apologize.
Jordan Bender: Yes. I guess it's been just a little bit tougher to decipher what the true underlying growth of the local market has been with all the competition. So can you just kind of help us with what the exit rate is for the locals market into the new year? And then I guess, more specific to you guys, what would you contribute your outlook of outperformance versus the market, too?
Keith Smith: I think in terms of – look, our own performance and our outperformance versus kind of what we call the same-store market in 2024, I think it's a combination of having some refreshed product, good marketing programs and just a good overall operation. The promotional environment here in Las Vegas has remained fairly stable, and we've remained very disciplined on that front. As we talked about in our prepared remarks, we've seen good growth from our core customers and continued steady growth from that group and some stability, as Josh talked about, amongst the retail customers. In terms of kind of the exit rate of growth in the LVL, as you think about 2025, it's kind of tough to predict. Is it low single digits? Probably if you were to – depending on your estimate of where the new competitor – how much revenue the new competitor generated on a quarterly or annual basis throughout 2024, you were to subtract that out of the market. I think what you'd be looking at as a market kind of growing in that low single-digit range. So I think that continues into 2025.
Jordan Bender: Helpful. And on the follow-up, any sense of what the Paradise move to land would cost you guys?
Keith Smith: No, we're still in the design phase. I mean, it's – you think about Treasure Chest, which we quoted in the $100 million range, it's probably something similar. It's not significantly larger or smaller.
Jordan Bender: Great. Thank you very much.
David Strow: Our next question comes from David Katz of Jefferies. David, please go ahead.
David Katz: Good afternoon. Congrats on your quarter. Look, I also wanted to go back to some of the capital allocation on the M&A side, right? Because I know we've had conversations about properties, smaller companies, larger companies, it's a pervasive thing. And so the follow-up really is, how do you think about risk tolerance, leverage take on and OpCo, PropCo versus owned and operated, a little insight there. Thanks.
Keith Smith: I don't think our views on this have changed much over the years. We certainly prefer to purchase HoldCo as opposed to OpCo. But in today's world, most of what – we have the opportunity to buy our OpCo. So it doesn't discourage or dissuade us from looking at an asset because it's in that structure. Once again, preference to buy HoldCo. In terms of leverage, we've talked about this in the past. We are flexible with our leverage profile, i.e., allowing leverage to float up for an acquisition as long as we can see it return to a level that we wanted to return to. So as long as we can see a way to delever quickly, then we're okay with letting leverage float back up. And I would say that over the years, once again, we've developed a good discipline when it comes to M&A or acquisitions. I think we've developed quite an expertise. And look, it's got to be, first of all, a good strategic fit in the right market. It's got to be the right-sized assets, it's got to be a high-quality asset. And that's kind of not a different set of facts today than it's been over the last, I don't know, several years. So that's – when we think about M&A, we think about leverage, we think about OpCo/ PropCo versus HoldCo. I think it's consistent over the last several years, but that's how we think about it.
David Katz: Got it. Thank you very much.
David Strow: Thank you. Our next question comes from Brandt Montour of Barclays. Brandt, please go ahead.
Brandt Montour: Hello everybody. Thanks for taking my question. So I wanted to circle back on the sort of post-election trends question. And if you look at the Midwest and South regions that weren't affected by weather, was there sort of anything encouraging at all. I mean we have seen sort of incremental lift across many of our other sectors, demands – demand being called out just with consumers being a little bit better. Any excess foot traffic or spend per visit or anything that you did see that was encouraging?
Keith Smith: Look, I think it's always and we've said this in the past, it's always hard to discern kind of, from a consumer standpoint, what is motivating them to come out and participate in our business. Is it a pre-election, post-election phenomena? Were they maybe less – coming out less frequently pre-election and they came out more post-election. Was the revenue growth in the markets kind of across the board? Was it a little stronger post-election and pre-election? Yes, I think it was, depending on what market you look at. But for the most part, yes, it was stronger in the fourth quarter. Is that a matter of the election? Is that a matter of consumers feeling better? Is that a matter of higher paychecks always hard to sort through that. But clearly, the facts are a little more growth in our markets in the fourth quarter than in the third quarter. It could be seasonality, hard to discern. But does it feel like the consumer feels a little bit better today than they did earlier in the year? I don't know, maybe a little bit, but not materially.
Josh Hirsberg: Not enough to take it and run with it, I guess, is what we're trying to say.
Brandt Montour: That's really helpful, guys. A follow-up I have is on the Paradise project. And just sort of comparing it to Treasury Chest, what you did with the build costs, and I appreciate that. But just digging into sort of the qualifying aspects of that project, when you think about Treasure Chest, which was a slam dunk, there were – had a sort of a built-in market in its area and you were taking out a ton of friction when you took it from the boat to land. I'm just curious if there's a similar sort of natural factor in that project that will get you this sort of immediate lift? And then if there's other factors in that market we should consider when we think about a comparable IRR?
Keith Smith: Generally outside of development costs for the Paradise project comparing it to Treasure Chest, I'd encourage you to completely separate the two projects. The market dynamics are completely different. The populations in the areas are completely different. The level of competition surrounding Paradise with all the VLTs or VGTs in Illinois is significantly greater than it is in the New Orleans or where we're at the cantor [ph] area. And so outside of build costs, all the dynamics will be different. Will we i.e. save money as there was friction going from a riverboat operation to a non-riverboat operation, yes, absolutely. But the dynamics other than that will be completely different. I think we were all surprised just to be clear about the level of pickup a Treasure Chest. We expected a great return. We didn't expect to double revenues or have revenues to be up kind of 80% free project. So I think that's been a home run, and I would not factor that into a Paradise development.
Brandt Montour: Loud and clear. Thanks everybody. Nice quarter.
David Strow: Thank you. Next question comes from Dan Politzer of Wells Fargo. Dan, please go ahead.
Dan Politzer: Hey good afternoon. Thanks for taking my questions. First one, this is really the local centric, but it could relate to the Midwest and South as well. the current administration, they propose reducing or eliminating taxes on tips and more recently, overtime pay and social security payments. It seems like it would play right into your sweet spot, but perhaps you can put some numbers around any of this impact if you think it might be incremental to your business, either from a cost or a revenue standpoint?
Keith Smith: Look, obviously, it's a statement of the obvious, but I'll say it anyways, which is look, it all depends on what shape of bill takes and what the exact guardrails are and parameters or specifics are of any bill that gets passed. Clearly, any – if the local consumer, whether it be here in Las Vegas or once again, we deal largely to locals throughout the country is healthier, but there are lower taxes on their income. It will support our business. We will benefit from it. What does that translate to in terms of dollars? I couldn't begin to tell you. Is it millions of dollars? yes. How many 1 to 10, 10 to 20 actually don't know because it all depends on what that bill looks like, but it will be incremental to the business as we think about the business today.
Dan Politzer: Got it. Yes. I get it's still early, it's something worth asking. And then just pivoting back to the balance sheet, net leverage, it sounds like it's going to be up from, I think, year-end, you said about 2.9, just given the CapEx you've laid out and kind of the EBITDAR expectations. I guess as you think about buying back stock and organic growth opportunities maybe versus M&A, is there a threshold to a leverage target through which to think about, and maybe along with that, is there a scenario where clearly, your stock has been performing well. Were you consider using that your stock as a currency in an M&A transaction?
Keith Smith: Yes. Look, in terms of how we would fund an M&A transaction, it's all very fact-specific and I won't comment on it. We historically have not used our equity as currency, but it's all very fact specific. In terms of leverage, I said a bit earlier that we would be very accommodative from a leverage profile standpoint for the right acquisition to allow leverage to go up. So as long as we could see it coming down in the future. That remains true. Look, we're fairly disciplined in terms of looking at assets, in terms of M&A, and it's going to we find the right asset and find the right opportunity, we're likely to execute, but Josh talked earlier about we look at share buybacks and the return we get from that. And we look at returns from our internal investments, and we look at M&A and we try and balance it all. We talk about this balanced approach to capital allocation. It's not investing in any one thing or allocating it in any one place. It's trying to allocate it across the board so that we have a very strong foundation to continue to grow from. So – it's the best I can do it. Josh, if you want to add.
Josh Hirsberg: The only thing I was going to add, Dan, you mentioned the 2.9x that you referenced was lease-adjusted leverage. We said current leverage is about 2.5x today and lease-adjusted leverage today is 2.9x. I didn't say that it was going to 2.9x. Yes, I just want to be clear. Yes.
Dan Politzer: Got it. Thank you.
Keith Smith: Thanks, Dan.
David Strow: Thank you. Our next question comes from Shaun Kelley of Bank of America. Shaun, please go ahead.
Shaun Kelley: Hi, good afternoon, everyone. Josh or Keith, most of my questions have been asked and answered, but a couple of small ones. First of all, on Norfolk, if we could. Obviously, a bit more color on the temp facility timing. But could you just help us out there with scope and scale of that project in terms of position count or just kind of how we should think about it. And maybe also just any plans around ramp-up or marketing, just given the size of what you'll start with there.
Keith Smith: Yes. So here's how I think about it. It's actually pretty simple. So mostly in the cost of it is built within that $750 million overall project cost. The timing is November of this year. And from a financial return standpoint or incremental EBITDAR standpoint, you should assume zero. It will be a small modest facility, and you should just assume it's breakeven. It might be slightly positive, might be slightly negative. You should assume breakeven.
Josh Hirsberg: We're basically at the same time, going to be focused on building the ultimate project. And that's why it's small to start with.
Shaun Kelley: I mean – sorry, just maybe to push on that for a moment then like what would be the point of doing it if the contribution was zero? Or is a requirement to get something open and operating as a part of the development agreement or something?
Keith Smith: Yes. As part of the overall development agreement, we'll be opening a temporary facility or a transitional facility.
Shaun Kelley: Okay. That's helpful. Thanks for that. And then second follow-up would just be – just going back to Treasury Chest and obviously, the property has been a big success, but there was some concern as – particularly as New Orleans opened up some incremental improvement there that perhaps you'd see a little bit of spillover, a little bit of impact. Have you observationally seen anything? I mean we've obviously got access to some of the state level reported data. But just as you look at has the run rate cooled off there at all? Have you been generally impressed by the levels or seeing any change in behavior as that asset started to stabilize?
Keith Smith: Josh, we'll not be happy with this comment. Actually, our Q4 performance from a revenue standpoint was better than our Q3 performance. So I think maybe whatever went on and downtown to Orleans assisted us overall.
Shaun Kelley: Okay, set the bar low then. Thank you very much.
David Strow: Thank you. Our next question comes from Joe Stauff of Susquehanna. Joe, please go ahead.
Joe Stauff: Okay. Thanks. Hi, Keith, Josh. I had a question on the renovation sleeve of your CapEx outlook, $100 million, and wondering, similar to your project CapEx sleeve of $100 million, is that – should that also be something that we assume you'll continue, say, going forward? And then I was wondering if you could just kind of comment from your perspective in terms of your – where are you seeing regional competitive pressure in terms of what markets? I mean, certainly, we can see, we can guess, but I was just wondering from your perspective, where you see the bigger sort of impacts from competitive pressure. I think you answered one of them right in Shaun's question thus far, but I was wondering if you can comment on the other areas?
Keith Smith: Look, I'll answer the last question. I'll ask Josh talk about the CapEx side of your question. But from a competitive standpoint, the promotional landscape, the competitive landscape has been fairly consistent for 2024. We don't see much change in 2025. Look, there were some new additions, some new supply additions in Northern Illinois that impact little bit, and there's a project in Eastern Illinois outside of Chicago that potentially impacts Northwest Indiana. It's early. But – so we're watching those. None of those have had a significant impact on us. And so as we think about, is there a market where we'll see larger competition than another market, no. Once again, the New Orleans market, our Treasury Chest operation continues to perform at a very high level. I can't speak to what else is going on in the market there, but we're continuing to do well. And everything seems pretty stable.
Josh Hirsberg: Yes. I think we're pretty well – I mean what Keith's comments are saying is we're pretty well insulated from competition in reality, at least for the foreseeable future. I think from the – just to clarify, on the $100 million room refurbishment projects, that's – you can think of that as we're catching up coming out of COVID capital kind of stuff. And so when we started talking about that, we said it was going to be $100 million in 2024 and $100 million in 2025 and then it would go away. The way it's playing out is we actually spent less in 2024, that's going to be what gets shifted out to 2026, and that's why we think it will be done in mid-2026. So, to the extent we're able to hit the $100 million that we expect to spend this year, then there'll be another $50 million in the first half of next year, and then that will be done. To the extent that for some reason because it takes us longer or whatever, and we don't spend the full $100 million, you'll see that roll over. But we've got the projects identified. We've got the budgets identified. It's $200 million. It's just really spread over what time period that we execute on those. So that's that. And then that's not to be confused with the $100 million we spend every year that we started spending every year for the growth projects like Fremont, Treasure Chest, meeting space at Ameristar St. Charles, Cadence Crossing and then eventually Par-A-Dice and others to come, that's a recurring $100 million of growth capital.
Joe Stauff: Understood. Can I squeeze one more and how to think about just the potential construction disruption in the locals market from your Suncoast projects as well as Orleans?
Josh Hirsberg: I think we – there could be some. I mean that is a risk to any commentary that we talk about. It's an elaborate surgery on an operating live gaming operation. And so we've done this before downtown, where we take little bits and pieces of the casino floor and work our way across it. And there will be some periods of time where we have a disruption to our operations. At this point, we're not – we're planning to mitigate that, and we're not planning for disruption, but life will happen, and we'll let you know when that does happen. But – the reason we call out the hotel rooms is not only so that you know we got capital, it's because every once in a while, we run into unexpected issues with those as well. So again, we're not expecting. We're trying to plan around it, but some of these buildings are really old, and you have to take out more of a tower than you expected. And we've encountered that before. And those who followed us have learned with us as we've experienced that. So, we're trying to let you know what we're doing. And so if something goes right, you go, okay, that kind of makes sense as it's not a surprise. And we'll be surprised by the disruption – when you guys are surprised by it. So that's kind of what we're trying to do here.
Joe Stauff: Yes. Thanks a lot.
David Strow: Thank you. Our next question comes from John DeCree of CBRE. John, please go ahead.
John DeCree: Hi, Josh. Hi, Keith. Thanks for taking my questions. Maybe shift gears to the online business a little bit. I know we covered a lot of ground already. But Josh gave us really good detail on CapEx investments for the upcoming year and even into 2026. So curious if you have much plans for investing in the online business this year, particularly your kind of iGaming business. I know you gave us EBITDA guidance, but curious if there's any kind of OpEx investments in that. And then I guess the bigger picture question is, what would you need to see in that business to kind of push more investment dollars to the iGaming business? Is it more kind of state legislation or just kind of how you think about investing in iGaming over a multiyear period?
Keith Smith: We're very pleased with the platform we have. It is scalable. And so as other states legislators begin to consider this and potentially approve this, it's not going to require significant CapEx to do anything to "scale up" to take advantage of those opportunities. I think we're happy with kind of the platform we have and where it's at, I would not assume any significant CapEx in that business, and it will continue to have, I think, modest growth going forward. And will accelerate probably only when other states begin to legalize this product.
John DeCree: Understood. Thanks, Keith. And if I could sneak one more in, probably not a ton for you to add. It's more of a strip phenomenon. I'm curious if you've seen any business differences in the locals market during F1 this year, whether it be just less disruption or different levels of visitation? And then a similar question about expectations for Super Bowl this year if you expect any meaningful variance in your business volumes in the locals market?
Keith Smith: Yes. So look, I think as you think about F1 last year, the programming in the city was different, so it's maybe hard to unpack it because there was a Raiders game in town, Raiders Play, Denver that weekend. And so there was more demand. There was more demand for hotel rooms. There was a different customer in town, which was good because the prior year, the town just didn't fill up to the extent it was expected. Look year-over-year, room rates were down during the – time frame because the irrational exuberance as they say, from year one of F1 kind of subsided. So it was a little less disruptive, but it still takes months to put that together, which disrupts the strip and still takes more than a month to tear it down, which disrupts the strip. In terms of Super Bowl, I think what you want to think about is Super Bowl is always a great time and Las Vegas, always one of our busiest weekends. I'm not sure room rates will be quite as high year-over-year. The room rates will be down year-over-year from a Super Bowl standpoint. Tom will still be full. It will still be a very strong weekend for us. Just on the non-gaming side, maybe not quite as robust as it was last year.
John DeCree: That's great. Thanks. Keith, I appreciate all that color. Congratulations to you all on the big milestone anniversary.
Keith Smith: Thank you.
David Strow: Thank you. Our final question comes from Chad Beynon of Macquarie. Chad, please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Just one for me. Josh, you talked about the managed and other segment in 2025, essentially being flat year-over-year. Obviously, trees don't grow to the sky, but this has been one of the higher growth areas of your company. And I know there's a Phase 1 and a Phase 2. So should we assume that you might just be being a little conservative, given all the volatility in the market in terms of this property growing? Or is there something else in the database or competition or maybe disruption with Phase 1 that should kind of limit some of the growth that we've seen in the past couple of quarters? Thanks.
Keith Smith: Yes. One of the things that limits growth is it's a very high-performing property. As we sit here today, and there's only so many people you can put in that building on a weekend, which is when most – the business has generated. And so there are just natural limitations. We cannot add capacity to the four walls we live in today. And therefore, just growing that business much beyond what it is today is very difficult from a physical standpoint. It is at capacity on weekends. Not holiday weekend, it's just almost every weekend. So it's a physical limitation as much as anything.
Josh Hirsberg: I think the next opportunity for growth to the point you made, Chad, is once the Phase 1 is done and we get that up and running and work all the kinks out, but that's probably a 2026 – sometime in 2026 kind of contribution.
Keith Smith: It's not disruption project. The project is largely outside the existing four walls.
Chad Beynon: Okay. Thank you both. Nice quarter. Appreciate it.
Keith Smith: Thank you.
David Strow: Thank you. This concludes our question-and-answer session. I'd now like to turn the call over to Josh for concluding remarks.
Josh Hirsberg: Thanks, David, and thanks for everyone joining the call today. If you have any follow-up questions, feel free to reach out to the company.